Operator: Hello, ladies and gentlemen. Thank you for standing by for Zepp Health Corporation's First Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. I will now turn the call over to your host, Ms. Grace Zhang, Director of Investor Relations for the company. Please go ahead, Grace.
Grace Yujia Zhang: Hello, everyone, and welcome to Zepp Health Corporation's First Quarter 2025 Earnings Conference Call. The company's financial and operating results were issued in a press release via the newswire services earlier today and are posted online. You can also view the earnings press release and slides referred to on this call by visiting the IR section of the company's website at ir.zepp.com. Participating in today's call are Mr. Wang Huang Wang, our Chairman of the Board of Directors and the Chief Executive Officer; and Mr. Leon Cheng Deng, our Chief Financial Officer. The company's management will begin with prepared remarks, and the call will conclude with a Q&A session. Mr. Mike Yeung, our Chief Operating Officer, will join us for the Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties are included in the company's annual report on Form 20-F for the fiscal year ended December 31, 2024, and other filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please also note Zepp's earnings release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial information. Zepp's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I'll now turn the call over to our CEO, Mr. Wang Huang Wang. Please go ahead.
Wang Huang: Hello, everyone. Welcome, and thank you for joining our first quarter 2025 earnings call. We are delighted to announce that this quarter, we see a 10% year-over-year growth of Amazfit revenue, first time after 2 years of our transformation period. Before delving into this quarter's results, I would like to emphasize the challenging macro terrain within the consumer electronics sector. Trade frictions and fluctuating tariff policies have not only introduced uncertainty but also prompted us to undertake strategic enhancements to our operations. We proactively diversified our supply chain several years ago foreseeing geopolitical complexities. Also, the recent U.S. tariff exemptions on specific product categories has [ alleviated ] some of the immediate pressure. Our dual sourcing model from China and Vietnam remains pivotal in ensuring operational agility; we have expanded our supply chain footprint in Vietnam and are actively exploring opportunities within NAFTA region. This initiative aim to mitigate risk and optimize cost measurement. Our pricing strategy is tailored to each market and product line. In some instances, we have the flexibility to adjust prices, while in more competitive segments, price increases are challenging. Thus, we approach pricing on a case-by-case basis. Additionally, by offering a broader portfolio of products ranging from high-end to budget-friendly options, we are better equipped to offset potential tariff impacts. In summary, the U.S. represents a significant growth market for our business, accounting for about 15% of our revenue. Currently, tariffs have a minimal impact on our operations, but we remain viligant (sic) [ vigilant], closely monitoring the macroeconomic environment and [ situation ]. Turning to our performance for the first quarter of 2025. Despite the first quarter traditionally being a low season for consumer electronics, our overall sales aligned with our guidance. Notably, Amazfit products' sales increased by more than 10% compared to the same quarter last year, underscoring the success of our strategic shift to a more self-reliant, brand-centered approach and sustainable growth. However, due to the seasonal nature of the first quarter, fixed operating expenses were not fully absorbed by the increased sales, putting some pressure on our operating profit. However, we expect this to be improved in the coming quarter. Now let's highlight some of our product achievements which continue to anchor our brand momentum. During the first quarter, we successfully launched the Amazfit Active 2 at CES 2025, which received positive reviews from major media outlets in both Europe and the United States. The [Technical Difficulty] line expand our profile, our strategic of combining cutting-edge technology with stylish design and [Technical Difficulty] band and [Technical Difficulty] glass screen, catering to the growing demand in the lifestyle smartwatch market. It features 24/7 health and fitness monitoring utilizing the latest advanced generation biosensor for enhanced precision in health tracking, includes improved algorithm and 160 sports modes, including support for new sports like skiing. With AI-driven coaching and multi-satellite navigation, it offers seamless smart interactions targeting the overall user experience. Furthermore, we broadened our market reach with the launch of the Amazfit Bip 6 in March. The Bip 6 integrates advanced health tracking biosensing technology, AI coaching and multi-satellite navigation for offline app, offering consumers exceptional value at accessible price points. This product further strengthens our presence in the entry-level segment, aligning with our strategy to cater to a wide range of consumer needs and increase market penetration. Over the past 4 months, the successful launches of these smart watches has secured top positions in the growth Amazon's smart banking. [Technical Difficulty] of 4.3 and with the extremely positive scores of 4.6 in the U.S.A., they have consistently secured spots within the top 50 and frequently ranks among the top 10 on Amazon's smartwatch category in the markets of major countries. They also earned rave reviews within the Reddit community. The initial sales momentum of Active 2 and Bip 6 are much stronger than the previous versions. They have gained wide recognition from mainstream off-line channels, helped the Amazfit brand keep gaining market share in most competitive smartwatch market such as Spain and Italy. To name a few, in Italy, according to GFK, our market share of no sim smartwatch unit sales stood at 23.3% in March 2025, ranked as #2 in the core wearable smartwatch market right after 42% of Apple. In Italy and Spain, 5 [Technical Difficulty] of us are among the CFK 25 [ head list ] in March '25. Just this past weekend, our global brand gained major international visibility when Amazfit athlete, JasmineÃÂ Paolini won the Rome Open, becoming the first Italian woman in 40 years to claim the title. Her breakthrough moment generated strong global media attention and spotlighted our Amazfit Active 2 watch, which she wore during the trophy ceremony and media interviews, along with branded apparel prominently featuring the Amazfit logo throughout the tournament. We will leverage this momentum to further accelerate growth in our already strong Italian market and expand our influence across the broader sports category. As we continue to grow our global footprint, moments like these help build long-term brand equity and emotional connection with our expanding user base. [ Robustness ] of these budget friendly and profound impact on our brand influence and market share not only paves the robust groundwork for the upcoming launches of our mid- to high-end products in the following quarter, but also bolster the confidence of our channel partners. It has significantly broadened our user base and expanded the sales funnel, creating a more promising market landscape for our brand. To summarize, our new product sales in Q1 demonstrated exceptional momentum, reaching the highest level in our product history. The performance not only surpasses previous records, but also outpaces our historical best-selling models, including the Bip 5 and the first-generation Active series. With the production and the delivery challenges on the verge of being fully resolved, we expect higher sales in the upcoming quarters from our new product launches. Turning to our technology innovations, Amazfit 2 and Amazfit Bip 6 [Technical Difficulty] with the latest Zepp OS 4.5 powered by OpenAI. Key features include advanced full voice control, enabling users to adjust settings and check progress hands-free. The messaging experience has also been improved, allowing users to reply using a full keyboard or speech to text input, with the system optimizing responses through suggestions or translations powered by large language models. Additionally, we have introduced the camera powered food log feature in the Zepp app, which allows users to take photos of their meals directly in the app. The system automatically uploads nutrition data for seamless meal checking. This feature is currently available in Europe, the U.S. and Japan. We remain committed to leveraging open source technologies such as LLaMA. Recently, we enhanced the responsiveness of Zepp [Technical Difficulty] voice commands on our smart watches, achieving a 17-fold improvement in speed. Additionally, by adopting a hybrid AI solution combining OpenAI and Google Gemini, we reduced the cost of food recognition in our app's food log to just 10% of the original. This enabled us to expand the service across our wider region in Europe and double the daily usage allowance for users. This agile and strategic technological integration has accelerated the scalability of our health and fitness services, driving both innovation and cost efficiency. As part of our strategic effort to gain greater brand recognition and expand our influence, we have been actively involved the Hyrox community. This year, we participate in Hyrox events in Chicago, Taipei and Shanghai, engaging with a global audience of fitness enthusiasts. Our partnership with Hyrox, where Amazfit serves as the official wearable and timekeeping partner continues to strengthen our position in the competitive fitness sector. This collaboration allows us to support athletes with advanced wearable technology which enhances their training and performance. Looking ahead, we plan to expand our presence at Hyrox events, further integrating our products into the fitness community through a comprehensive series of brand campaigns and community building initiatives centered around Hyrox. The activation rate of our T-Rex 3 device has sustained robust growth both year-over-year and month-over-month. Even 8 months post launch the product has successfully captured a claim of sports enthusiasts across an expanding number of regions. This remarkable achievement not only underscores the market appeal of our offering, but also paves the way of a strong and promising launch of our upcoming lineup of flagship sports products. We continue to advance our sports and lifestyle strategy by building brand awareness through event sponsorships and partnerships with top athletes. We are thrilled to welcome five-timeÃÂ OlympicÃÂ Medalist Gabby Thomas and Italian tennis star JasmineÃÂ Paolini as our global athlete partners. These partnerships enhance our brand visibility on the world stage while showcasing how Amazfit smart wearables empower top-tier athletes with data-driven insights and to optimize their training, recovery and overall performance [Technical Difficulty] through new product introductions, innovations in our software and continuous investment of brand awareness and recognition. We have set clear strategic objectives to drive our next phase of growth. These include strengthening our presence in entry-level markets, deepening collaboration and investment with our off-line channel partners, expanding brand exposure and community engagement and ultimately guiding users towards upgrading our mid- and high-end product offerings from [ Angelobit ] Active series towards the Balance and T-Rex series. Looking ahead to the second quarter of 2025, we are optimistic about achieving our first year-over-year growth of overall sales since 2021, which will be a significant turning point of our company. The anticipated growth is driven by product innovation, strengthened partnership and expanding global presence. At the same time, we remain vigilant of the macroeconomic challenges and uncertainties. Our strategy to navigate these complexities includes further optimize our supply chain, strengthening broader brand positioning and enhanced product differentiation. These efforts will ensure Zepp Health remain resilient and competitive in the evolving smart wearable market. And I believe 2025 will be a fruitful year of Zepp. I will now turn the call over to Leon to go over the highlights of our first quarter financial results.
Leon Cheng Deng: Thank you, Wang. Greetings, everyone. Thank you again for joining our first quarter 2025 earnings call. Let me start by highlighting some key metrics from our financial results for the first quarter of 2025. I would like to share some of our supply chain strategy first. We operate in a dynamic global environment influenced by macroeconomic factors and changing tariffs. However, we are well positioned due to past actions. Echo to what Wang just mentioned, we shifted most U.S. bound productions from China to Vietnam in past years, limiting our exposure to China tariffs. Our remaining China tariffs exposure is limited to a few accessories like packing boxes and chargers, which are a very small part of our business. These moves give us production flexibility and optionality as new tariff structures take shape. Currently, we are seizing the opportunity of the temporary Vietnam tariff halt by ramping up production, scenario planning with manufacturers for origin flexibility, collaborating with partners and retailers to [ showed ] consumers and accessing pricing and promotion strategies to keep products more appealing while optimizing gross profit. We believe these strategic arrangements will enhance our operational resilience. With a strong balance sheet, a nimble operational posture and an experienced team that is executing with discipline, we are setting ourselves up for fruitful performance in 2025. Now let's turn to the financials. In Q1, our sales come in line with the guidance range we provided. Notably, we achieved 10.2% year-over-year growth in our Amazfit branded products, which reflects the strong market reception of our newly launched models, Active 2 and Bip 6. This marks the first year-over-year growth of our Amazfit branded products we have achieved since the start of our transformation journey. We considered it a significant milestone as we are confident this positive momentum will persist through the second quarter and expand well beyond as we have more new products lined up for the remainder of the year. Turning to gross margin. It was influenced by various factors, including product mix, product launch timing and product life cycle such as model upgrades. In Q1 2025, we achieved a gross margin of 37.3%, which is higher than both Q4 2024 and Q1 2024, largely driven by new product launches. During the quarter, gross margin was negatively impacted by the additional 20% U.S. tariff on China-made products, which reduced our gross margin by approximately 1 percentage point. Excluding the tariff impact, gross margin would have reached 38.4%. Looking ahead, we expect the gross margin expansion to continue into the rest of 2025. Now let's turn our attention to costs. We remain steadfast in our commitment to cost management, continuing with the program that we began in 2020 Q3 on reducing overall operating costs. Operating expenses for the first quarter totaled USD 31.5 million compared to USD 29.3 million in Q4 '24 and USD 27.8 million in Q1 2024. The USD 2.2 million quarter-on-quarter increase mainly reflects higher R&D expenses as we continue to invest in new product development, along with increased selling and marketing expenses to support our Q1 launches. Compared to Q1 2024 last year, operating expenses increased by USD 4 million year-over-year. This increase includes approximately USD 3 million in higher selling expenses, driven by USD 1.7 million spent on digital marketing campaigns and new product launch events and USD 1.4 million invested in strengthening our sales channels. Additionally, we faced around USD 1.0 million in foreign exchange headwinds during the quarter. We will maintain our cost-conscious approach in the upcoming quarters to keep the overall operating cost at a level between $25 million to $27 million per quarter. Concurrently, we remain committed in investing in R&D and marketing activities to ensure our long-term competitiveness. R&D expenses in the first quarter of 2025 were USD 11.5 million, a decrease by 3.4% year-over-year. The decrease was a result of our refined research and development approaches. As Wang previously mentioned, we are committed in investing in new technologies and AI-like open source technologies to secure our long-term technology leadership. Selling and marketing expenses in the first quarter of 2025 were USD 13.8 million and increased by 31% year-over-year. This increase was primarily driven by the USD 1.7 million spent on digital marketing campaigns and new product launch events and then USD 1.4 million invested in strengthening our sales channels. We also engaged with rising sports stars like Gabby Thomas and JasmineÃÂ Paolini to improve our brand awareness. At the same time, we consistently pushed on retail profitability and channel mix improvement. We are committed to investing efficiently in marketing and branding expenses to ensure our sustainable growth. G&A expenses were USD 6.2 million in the first quarter of 2025 compared with USD 5.4 million in the first quarter of 2024. The increase was largely attributed to foreign exchange headwinds. Adjusted operating loss for the first quarter of 2025 was USD 17.2 million compared to adjusted operating loss of USD 13.1 million for the same period of 2024. The first quarter is typically the season with the lowest sales, which resulted in an inability to fully cover the operating costs. As of March 31, our cash balance stood at USD 104 million compared to USD 110 million in Q4 2024. Despite a net loss in the quarter, our cash balance only declined by roughly USD 6 million, thanks to our enhanced working capital management and improved cash conversion cycle, offsetting the cash burn. We also made solid progress in our capital structure. During the quarter, we successfully refinanced a significant portion of our short-term debt into long-term instruments with a more favorable interest rate and a 2-year duration. This move significantly reduced our near-term liquidity pressure and improves our overall balance sheet flexibility. During Q1 2023, we have initiated the retirement of our short/long-term debt portfolio. As of Q1 '25, the company has retired a total of USD 67.8 million of debt cumulatively with another USD 11.5 (sic) [ 11.5 million] repaid in Q1 2025. As the capital structure will be further optimized as our operating cash flow strengthened. We're pleased to reconfirm our commitment to the share repurchase program for 2025. We believe our current valuation continues to represent an attractive opportunity and reflects our confidence in the company's long-term fundamentals. Turning to our outlook. For the second quarter, we expect revenue to be in the range of USD 50 million to USD 55 million showing significant year-over-year revenue growth of 23% to 35%, along with the efforts we have made over the past years to cut operating expenses, diversify our supply chain and reduced costs, we anticipate a boost in profitability during the second quarter. Additionally, we remain focused on driving operational efficiencies and expanding our supply chain beyond China to reduce costs and mitigate external risks. At current tariff rates, we estimate the tariff impact in 2025 full year will be approximately USD 2 million to USD 3 million. However, this impact is expected to be fully offset by global operating efficiency gains. To provide some color on expectations for the balance of 2025, we have many exciting products lined up for the remainder of the year, which will continue to drive our revenue growth for the rest of the year, witnessed by our strong sales performance guided for Q2 2025. We expect our full year 2025 operating expenses to be at or below its level versus 2024. We expect to offset tariff cost headwinds with operating efficiency gains, continued supply chain diversifications outside China. The initiatives we undertook in 2024 to reduce operating expenses and improve gross margins are bearing fruit. We are focused on launching a significant number of new products in 2025 and 2026 to restore growth and profitability to our business. Thank you all for your time today. I will now open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] The first question today comes from Sid Rajeev from Fundamental Research Corp.
Siddharth Rajeev: I was wondering if we could get more color on the impact of tariffs. As U.S. exports are produced in Vietnam, is it fair to say your products are currently subject to a 10% tariff? And also, given the 90-day pause, what happens if the tariff has increased to 46% in July? How are you planning that impact?
Leon Cheng Deng: Yes, very good question. So as I just mentioned, we are expecting the full year tariff impact would be around $2 million to $3 million in total. However, this impact is to be offset fully by our global operating efficiency gains. So if you look at it, there are twofold. Number one is even at the environment whereby China-U.S. tariff is sky high, I think at the height of it, it was 100 -- more than 145%. The -- our category as a smart watch is exempt from such a tariff impact. So certain electronics products are exempt from the tariff impact between China and U.S., even at the height of the tariff situation between China and U.S. So -- and our second scenario is to use Vietnam as a backup of the dual sourcing to provide goods for our U.S. business, right? So if you take a step back, we're actually supplying U.S. with Vietnam and the rest of the world from China. And as -- so number one, we are expecting after the 90 days pause, the situation between U.S. and Vietnam will be coming back to a normal level, maybe at 10% right? Number two, even if it doesn't come back, I think given the recent truce between China and U.S. and our product category is exempt from the tariff impact, I think our tariff situation for the U.S. business for the rest of the year would be in a controllable manner. However, we're also going to use the upcoming 90 days or so to front-load some of the inventories into our U.S. warehouse to prepare for the Q4 sales so that we can actually lock down this number, which I just mentioned to you on tariff. So overall, I don't think it's going to be a big impact for us if you look at what is going on for today. But yes, the uncertainty remains, and we're also looking at over mid- to long term to do a triple sourcing, for example, in the NAFTA region, which has been mentioned by William (sic) [ Wang ]. So that's a little bit over a mid- to long term.
Siddharth Rajeev: Got it. So the $2 million to $3 million you estimate, that is based on a 10% tariff, not the 46%...
Leon Cheng Deng: That is based on roughly a 10% tariff, yes.
Siddharth Rajeev: Okay. Thank you. And what are you seeing in the market these days? Are you and your competitors planning or raising prices, passing cost to consumers? What are your thoughts on that?
Leon Cheng Deng: No, we're not going to rule out on all the possibilities, but I think we're not going to be the first mover in this if we look at -- and we'll definitely monitor the situation on, for example, Apple or Garmin and all the competitors of us. And if they make a move on pricing, for example, we probably would consider that. But again, since the impact would be relatively limited for us, I don't think we're going to make big adjustments on our pricing strategy. But as I said, we are going to evaluate our pricing strategies on a region-by-region and country-by-country basis, and we're going to make the adjustment where needed.
Siddharth Rajeev: Okay. And in terms of OpEx, your goal to get to $25 million to $27 million a quarter. When can you realistically achieve this? And what areas would you cut to get to that number?
Leon Cheng Deng: I think realistically, you will see a big reduction in Q2 already. I think in Q2, we're quite confident that we're heading back to a normalized manner. Why you see such a high amount or relatively high amount in Q1 is because of some of the product launch events, which took place in Q1 in a big manner, which is not going to happen on a recurring manner, if you want. So -- and also we were impacted by $1 million of currency FX headwind which we are also hedging. So that hedge contract in Q2 is actually turning into a profit. So I think overall, I think you will see a first good sign of the cost going down in Q2 already.
Siddharth Rajeev: Okay. Just one final question, Leon, if I may. Last year, you had one product release. And this year, from now to end of the year, how many new products or upgrades are you planning?
Leon Cheng Deng: I couldn't tell you an exact number, but I think I have alluded to it in the previous call as well. This year, we're aiming to refresh all our major product lines in the different quarters ahead of us, right? So if you look at Q1, we have already launched Active and Balance, and if you look at May, we're actually preparing for some new product launches in China, and we have many exciting products, and that many is definitely more than 2 in the upcoming quarters to come.
Operator: [Operator Instructions] The next question comes from [ Nicolette Jones ] from [ Brooks Investment ].
Unknown Analyst: Sid has actually asked most of them, but I just wanted to sort of get more detail into the full year 2025 performance. If you could just give us some sort of further sort of color on how you see the full year panning out?
Leon Cheng Deng: Yes. So yes, normally, we don't guide for a full year number, but this time, I can definitely say a few things about it. So I think we have explained to -- and as Sid just asked, we have many exciting new products lined up for the remainder of the year, which from a sales perspective, will continue to drive our revenue growth for the remainder of the year. And as you can see, our Q2 guidance for the sales growth is already up by 23% to 35%, if not more than that, okay? So that's from a sales perspective. And I think as we're heading into the second half of this year and traditionally for consumer electronics business, also the second half of the year is the high seasons as we're heading into Black Friday, Christmas, Double 11, whatever you name it. So we think the revenue growth trend will definitely go up for the remainder of the year. And you also noticed that our gross margin expansion journey has been growing, and we will continue that journey as well. So I'm expecting the gross margin will be hover around the current level and higher as we head into the remainder of the year. And the last thing of the puzzle is definitely the costs. As I explained just now, I think Q1 is a little bit of an outlier in the whole cost story, which we have communicated before. But as a full year perspective, we're expecting the full year cost for G&A plus R&D plus marketing expenses to be in line or lower than the 2024 full year cost, right? And with that, I think we are going to try to offset the tariff cost headwinds with operating efficiency gains. So hopefully, that will not have any negative impact on our gross margin. And we are quite confident that 2025 would be, as Wang mentioned, a fruitful year for us if we execute as we planned.
Operator: Since there are no further questions, now I'd like to turn the call back over to the company's IR Director, Grace Zhang, for closing remarks.
Grace Yujia Zhang: Thank you once again for joining us today. If you have further questions, please feel free to contact Zepp Health's Investor Relations department through the contact information provided on our IR website. Thank you.
Leon Cheng Deng: Thank you.
Operator: This concludes the conference call. You may now disconnect your lines. Thank you.